Operator: Good morning. My name is Chris and I will be your conference operator today. At this time I would like to welcome everyone to the Rogers Corporation 2015 Fourth Quarter and Full-Year Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. [Operator Instructions] Thank you. Will Tryon, Director of Investor and Public Relations, you may begin your conference.
William Tryon: Thank you, Chris. Good morning, everyone, and welcome to the Rogers Corporation 2015 fourth quarter and full-year earnings conference call. The slides for today’s call can be found on the Investor section of our website along with the news release that was issued yesterday. Turning to Slide 2. With me today is Bruce Hoechner, President and CEO; Janice Stipp, Vice President-Finance and CFO; and Bob Daigle, Senior Vice President and CTO. Please move to Slide 3. Before we begin, I would like to note that statements in this conference call that are not strictly historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and should be considered as subject to the many uncertainties that exist in Rogers’ operations and environment. These uncertainties include economic conditions, market demands and competitive factors. Such factors could cause actual results to differ materially from those in any forward-looking statement. Also, the discussions during this conference call may include certain financial measures that were not prepared in accordance with generally accepted accounting principles. Reconciliation of those non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the slide deck for today’s call, which is posted on the Investors section of our website. I will now turn the call over to Bruce.
Bruce Hoechner: Thank you, Will. Good morning, everyone. In Q4 2015, Rogers delivered record fourth quarter net sales of $152.9 million, a 3.5% increase over Q4 2014. In addition, we achieved non-GAAP earnings of $0.69 per diluted share, exceeding our previously announced guidance. During the quarter, we again experienced strong contributions from our synergistic acquisition that will partially offset by a decrease in organic net sales. We believe that the organic sales decline was due to a number of factors, including global macroeconomic conditions, which impacted our business segments. I’ll discuss the segments in details in a few moments. Our outlook remains cautious in the near-term based upon the uncertain timing of the global economic recovery. However, our growth strategy remains sound. We are focused on execution and we remain confident in our longer-term growth prospects in our key megatrend markets. Turning to Slide 4, I would like to review our growth strategy. This roadmap has enabled us to deliver sound results and we believe that it positions us well to capitalize on the opportunities that lie ahead, particularly when the global economy recovers. As a market driven organization, we leverage our strong understanding of the link between our markets and technology to develop solutions to solve unmet needs in the marketplace. A good example of this is the strong position we have established in Advanced Driver Assistance Systems. We experienced increased demand for these applications in 2015 and expect that trend to continue based upon our customer relationships and the growth predictions for this market. In the area of innovation leadership, we continue to cultivate a robust pipeline from the work we are doing in our innovation centers, as well as in the operating units where our R&D teams are focused on next-generation solutions. One of the innovation centers early developments is a pioneering platform technology that enable substantially smaller, higher performance, higher frequency antennas. This technology is now being scaled up in our Advanced Connectivity Solutions business initially targeted for defense applications, and we expect broader adoption of this in commercial applications. The Arlon acquisition has demonstrated the strength of our approach to synergistic M&A. The acquisition was completed within our 12-month goal and it outperformed our expectations during the year. A textbook example of a successful integration it will serve as a blueprint for future acquisitions. We continue to see progress from our investments in operational excellence. These initiatives are helping us reduce manufacturing costs, improve inventory management, and achieve greater on-time delivery to request for our customers. In addition, out ERP upgrade is helping our back-office teams work more efficiently as we improve and standardize our systems and processes. This work also prepares us to quickly integrate future acquisitions. At the bottom of this slide, you’ll see our interim three-year financial goals, which serve as a checkpoint in a long-term plan. While market conditions impacted our 2015 results, we remain confident in our longer-term ability to achieve 15% revenue growth through a combination of organic and acquired growth. Turning to Slide 5, we see how our commitment to this strategy is delivering sustained progress in revenue and profit performance over the past three years. We saw a slight margin dip in 2015, as we dealt with the macroeconomic conditions. But we were pleased with the contributions from our operational excellence initiatives. On Slide 6, I’d like to take a brief look at our profitability from a slightly different perspective, EBITDA. We believe this is a key measure of our performance in assessing our internal core operating results, which improved 260 basis points. Janice will provide more detail on the significance of this metric in her comments. On Slide 7, I’d like to highlight some achievements from 2015. First, I’ve spoken about it often, but it bears repeating. Our acquisition and integration of the Arlon business was highly successful. This acquisition led us to record revenues in 2015, and we are excited by the opportunities for organic growth in the future. I’ll address our megatrends in a few slides, but here I would like to highlight that we are confident that our megatrend categories are focused on the right markets for future growth. In 2015, we selected safety and protection as a new Rogers megatrend category based upon the opportunities we see for applications in growing markets like automotive safety and consumer, impact and protection. We believe that our core capabilities aligned well with this megatrend and we’re executing on those opportunities. As I mentioned earlier, we continue to see strong results from our investments in improving our overall operating capabilities. These initiatives are helping us lower costs and drive efficiencies in both our manufacturing and back-office environments. Our focus on delivering shareholder value is reflected in our capital allocation strategy. In 2015, we initiated a $100 million share repurchase program and bought back $40 million in shares. Building on the success of our North American Innovation Center in Burlington, Massachusetts, we opened the Asia Innovation Center in September 2015 to leverage the talent and opportunities we see in that region. Turning to Slide 6, ACS delivered record fourth quarter net sales of $63.8 million, driven by $16.4 million from the acquisition, which was an increase of a 11% over Q4 2014. ACS organic sales for the quarter declined 16.4% on a currency neutral basis. Strong demand for Advanced Driver Assistance Systems and aerospace and defense applications were offset by weaker demand in an inventory rebalancing in the 4G LTE base station market, primarily in China. Looking ahead in ACS, we anticipate that the base station recovery in China and growth in small cells will help drive demand for high-frequency circuit materials. We are very pleased with the consistently strong demand for applications for Advanced Driver Assistance Systems, as these features continue to expand into mass market automobile models. In addition, we expect the adoption of new technologies linked to the Internet of Things and E-Mobility to help drive growth in ACS. On Slide 7, EMS achieved net sales of $42.5 million, including $6.1 million from the acquisition, which is roughly flat year-over-year. Organic net sales were down 13.5% from 2014 on a currency neutral basis. Solid results in consumer impact and protection and automotive applications were offset by weaker demand for certain portable electronics applications. The EMS organization is addressing the headwinds in display gasket applications for portable electronics by refocusing the business on other solutions. For example, we are seeing strong interest in the new smartphone back pad solutions that we introduced in 2014, which are partially offsetting the weaker demand for display gaskets. We also had several design wins for sealing applications in the automotive market. In addition, we see opportunity through European and Asian geographic expansion in general, industrial, and mass transit, as well as greater market penetration in consumer impact and protection applications. Turning to Slide 8. PES net sales were $36.7 million, a 12% decrease compared to Q4 2014. On a currency neutral basis, PES net sales declined 3.4% from Q4 2014. Foreign exchange rates and a global slowing in industrial and infrastructure investments due to challenging macroeconomic conditions impacted PES more than our other two business segments. During the quarter increased demand in EV/HEV as well as certain renewable energy applications were offset by weaker demand in mass transit. We believe the outlook for the mid to long-term is positive. Government mandates and climate change agreements are strengthening demand for energy-efficient motor drives and renewable energy applications. In addition, fuel efficiency regulations continue to drive demand for EV/HEV and vehicle electrification applications. On Slide 11, we continue to be encouraged by the positive growth expectations for our key markets. Demand in areas like mobile data traffic, EV/HEV and automotive safety are expected to drive substantial growth in the mid to long-term. For our 2016 plan, we are not anticipating significant movements in commodity pricing or foreign exchange rates at this time. While lower global GDP growth is muting revenue expansion, wage stability across our operating geographies appears to be in check, helping us manage operating costs. In the face of weaker global economic conditions, we are addressing issues such as selective pricing pressures by continuing to reduce manufacturing costs. The industrial slowdown that we believe started during Q2 2015 affected sales into certain applications we serve within the industrial sector. We do expect to see an improvement in demand for these industrial applications when the global markets recover. Turning to Slide 12. Our market-driven approach is helping us form deeper partnerships with our customers. These relationships are contributing to a strong sales pipeline and positioning us to be designed into new applications and technologies. I’m very encouraged by our product development opportunities. Our investments in next-generation and new products closely aligned to our megatrend markets, which accounted for 66% of our sales in Q4 and full-year 2015. Synergistic M&A opportunities continue to be actively pursued by Rogers and we will use the successful integration of our lawn, as a blueprint for future acquisitions. We are capitalizing on the investments we have made in our processes and systems to reduce costs and gain efficiency, which will also serve to accelerate the integration of future acquisitions. In order to increase productivity and reduce costs, we are in the process of shifting some manufacturing to lower cost locations, as well as rationalizing capacity. In addition, we are leveraging our shared service organizational model to better utilize resources. And finally, we will continue to practice disciplined capital deployment making strategic investments to move our growth strategies forward and deliver value to our shareholders. Moving to Slide 13. Now, I’d like to introduce Janice Stipp, who joined Rogers in November 2015, as Chief Financial Officer. She brings to us extensive knowledge and experience in the manufacturing, technology and automotive industries with publicly traded and global corporations, as well as private equity firms. I’ll now turn the call over to Janice, who will report our Q4 and full-year financial results in greater detail.
Janice Stipp: Thank you, Bruce, and good morning, everyone. I’m very pleased to be part of the Rogers team and the core to interacting with all of you in the months and years to come. Before I review the results for Q4 2015, I’d like to briefly touch upon my priorities and objectives, as we move forward. If you turn to Slide 14, I’ve outlined five key areas that will be a focus for the finance, organization, and supporting the roadmap Bruce touched upon earlier. As a market-driven organization, we’ll partner with sales and technology to continue to look for areas to increase revenue by strategically investing in technology that will drive upon the goals of margin expansion, customer and geographic diversification, and long-term growth outlook of the markets we participate in. Optimizing our cost structure and focusing on increasing cash flow, we will – with the key as we partner with operations, the pricing and other departments to support Rogers operational excellence initiative. At any time, but especially during times of global economic uncertainty as we have today, it is important to benchmark the global competitiveness of the company’s cost structure and adjust as necessary to maximize user working capital and deploy a balanced discipline and flexible approach enchasing our capital structure. Lastly, our synergistic approach to M&A will allow Rogers to continue to identify and leverage acquisition opportunities that will deliver on established target similar to the benefits obtained we think with our own acquisition. These top priorities are all focused on creating value for our shareholders and we will continue to prioritize those initiatives that meet that objective. Before we move on to Slide 15, I wanted to highlight that we will be introducing some new metrics during our call today that will establish on the basis of how we communicate results in the future. In certain slides, the consolidated results presented will exclude restructuring, non-cash stock-based compensation, amortization, and other discrete special charges by other slides are presented using the historical Rogers’ methodology. Each financial metric has been footnoted as calculation and the reconciliation between GAAP and non-GAAP is included at the back of this presentation. The new metrics are aimed at addressing the continuing core operations of Rogers on a comparative basis, I’ll first begin by covering our fourth quarter results followed by a brief overview of our full-year 2015 performance, and then lastly, I’ll discuss our Q1 2016 guidance. Now, let’s take a look at our Q4 2015 financial results beginning with Slide 15. On this slide, we’ll be reviewing the results that Rogers has historically communicated back. In the fourth quarter of 2015, net revenues was $152.9 million, was up 3.5% compared to the fourth quarter of 2014. Adjusted operating margin was down 380 basis points, primarily due to low organic revenue and higher investment in R&D, both of which are partially offset with lower incentive compensation expense and other SG&A cost saving initiatives. The lower margin drove the overall reduction in non-GAAP earnings per share to $0.69 in the fourth quarter of 2015 compared to $0.91 in the fourth quarter of 2014. Moving to Slide 16, we – new metrics I addressed earlier. One such metric is EBITDA defined as earnings before interest, taxes, depreciation and amortization adjusted for restructuring non-cash stock-based compensation and other discrete special charges. Management believes this measurement assist in comparing our operating performance over various following periods on a consistent basis because of the renewals of our operating results, the impact of items that management’s opinion do not reflect core operating performance. In addition, we believe EBITDA is useful because of besides analysts, investors and others the same information that we use internally for the purpose of assessing our core operating performance. However, this financial measure should not be considered as a better measurement in financial measurement calculated in accordance with GAAP. Lastly, I’ll caution that other companies that calculate EBITDA differently, therefore, our EBITDA may not be comparable to other companies.
%: EBITDA was down 270 basis points for primarily the same reason. The lower operating margin led to the overall reduction in adjusted earnings per share to $0.88 in the fourth quarter of 2015 compared to $1.04 in the fourth quarter of 2014. Slide 17 provides greater detail on revenue in the quarter. As Bruce stated, there were significant market headwinds resulting in delays in capital investments and key infrastructure projects that impacted our organic revenue this quarter, which contribute to a deterioration of a 11% on a currency neutral basis. Our organic revenue in each of our business segments was unfavorable resulting in $16.2 million of revenue deterioration in Q4 2015. ACS segment results were favorably impacted by strong growth in high-frequency circuit materials used in automotive Advanced Driver Assistance Systems and aerospace and defense applications. However, weaker demand in the 4G LTE base station supply chain, primarily in China led to an overall decline in ACS segment revenues for the quarter. While our EMS segment results were favorably impacted by increases in consumer automotive applications, both continued decline in certain portable electronic applications led to overall reduced revenue in this segment. Lastly, results for our PES segment were favorably impacted by increased demand on electric vehicles and certain renewable energy applications, although lower demand in mass transit applications resulted in lower organic revenue for this segment. Fluctuations in currency exchange was unfavorably impacted net revenue by 3.5%. The acquisition of Arlon contributed $26.6 million, or 18% of our revenue in the quarter. Looking at our adjusted operating income on Slide 18, fourth quarter results declined 300 basis points, or $3.7 million compared to the fourth quarter of 2014. Gross margin declined 530 basis points, primarily due to low organic volume mix, volume related pricing absorption and warranty expense. Commercial expenses were lower by 230 basis points due to lower incentive compensation accruals and cost initiatives, partially offset by higher investment in R&D. First, take a look at our segment financials on Slide 19. Since Bruce, have already covered segment revenue in some detail, I will focus on operating income adjusted here for the restructuring and other non-discreet special charges only. ACS operating income was $10 million, down $0.1 million from 2014 Q4 or 190 basis points as a percent of revenue. This decrease was primarily due to organic revenue and unfavorable absorption partially offset by the acquisition operating income. EMS operating income was $4.3 million, down $1.9 million from Q4 2014 or 440 basis points, as a percent of revenue. This decrease was a result of organic revenue as well as unfavorable mix and absorption, partially offset by the acquisitions operating income. PES operating income was $0.8 million, down $2.7 million. As a percent of revenue, the decrease was 620 basis points. This decrease is primarily due to low organic revenue, volume rebate, or an expense in unfavorable absorption. Moving to Slide 20, you’ll see the waterfall chart were due to changes in adjusted earnings per share from Q4 2014 to Q4 2015. The $1.4 down from adjusted earnings per share last year is reduced by $0.06 of intangible amortization and $0.07 of non-cash stock-based compensation, resulting in $0.91 for Q4 2014 earnings per share less special adjustment. This was reduced by $0.68 due to the lower volume, volume-related pricing, unfavorable absorption, and mix. Reduced commercial expenses contributed $0.25 of earnings per share improvement, primarily due to lower incentive compensation accruals in 2015, which is being partially offset by $0.05 of earnings per share deterioration due to increased investment in R&D. The Arlon acquisition added $0.26 to earnings per share, which resulted in $0.69 of Q4 2015 earnings per share less special adjustments, which exceeded the guidance estimate of $0.53 to $0.63 per share. As I mentioned earlier, Rogers will be introducing some new metrics. The management teams believe to better understand the core operational business performance if added back intangible amortization and non-cash stock-based compensation to calculate an adjusted earnings per share metrics. As you can see in this chart, starting with the $0.69 of Q4 2015 earnings per share less special adjustment adding a $0.11 for intangible amortization and $0.8 for non-cash stock-based compensation, the core business performance was $0.88 of adjusted earnings per share. Now, let’s take a look at the full-year 2015 financial results beginning on Slide 21. This slide illustrates the results that Rogers have historically communicated back. Rogers delivered all-time record revenue of $641.1 million, an increase of 5% over fiscal year 2014. Organic sales were down 6.9% on a currency neutral basis and fluctuation in currency exchange rates will result by 4.5%. The Arlon acquisition increased revenue by 16.4%. Adjusted operating margin was down 90 basis points from 14.6% in 2014 to 13.7% in 2015. The main contributing factors are accretive results of acquired business partially offset by purchase accounting, as well as SG&A savings primarily due to lower incentive compensation partially offset by organic volume and mix and higher investment in R&D. Non-GAAP earnings per share was $3.08 in 2015, which is down 9.7% over $3.41 in 2014. Turning to Slide 22, you’ll see the full-year 2015 results with the new metric. Adjusted operating margin was up 10 basis points and 16.8% for the full-year 2014 to 16.9% for the full-year 2015. The improvement from the historical non-GAAP operating income of 100 basis points is driven by 70 basis points from intangible amortization and 30 basis points from non-cash stock-based compensation. EBITDA is also up 10 basis points from 20.6% for the full-year of 2014 to 20.7% in the full-year 2015. This is driven by the explanations already noted. Adjusted earnings per share were $3.84 in 2015, which was down 2.3% over the $3.93 in 2014. The primary reason for the decline is due to increased interest expense and tax rate associated with adjusted earnings per share. On Slide 23, you’ll see the full-year segment financial. ACS revenue increased 11.1% in 2015. Organic revenue declined a 11.4%. Currency fluctuations decreased results by 1.3% and the acquisition added 23.8%, as compared to the prior year. ACS operating income for 2015 increased by $3.5 million that was lower by 70 basis points. Our organic revenue was partially offset by the addition of the operating income from the acquisition, favorable results from the continued efforts target at manufacturing efficiency and improvement and favorable inventory absorption. Organic revenue in our EMS segment declined 7.9%, while currency fluctuations decreased results by 1.8%, and the acquisition added 13.8% of growth as compared to the prior year. EMS operating income declined 180 basis points, primarily due to the low organic revenue and mix, partially upset by the addition of operating income and the acquisition of productivity improvement. PES organic revenue was basically flat compared to 2014, despite an unfavorable currency impact of 12% when compared to the prior year. PES operating income declined a 110 basis points primarily due to organic revenue and mix, unfavorable foreign currency exchange impact. [Volume for entry-based] [ph] warranty expense partially offset by improvements in yield and productivity. Turning to Slide 24, you can see we added here with a strong cash position of $204.6 million. Rogers generated $73.9 million of cash flow from operation and repurchased 40 million of shares during the last half of the year. We also made progress on executing on our growth strategy by utilizing $125 million of borrowings on our bank credit facility to help fund the successful acquisition of Arlon. During the year, we also invested $24.8 million in capital expenditures that help strengthen our competitive position, as well as we exited a non-core product line. Slide 25 describes our capital allocation over the last three years. Cap expenditures have been roughly 30% of the operating cash flow, another 17% towards share repurchase and 14% toward net acquisition activity. We’ll remain flexible on our operating cash flow to support a strong balance sheet in the phase of continued economic uncertainty, as well as any opportunistic acquisition. We will stay focus on value enhancing initiative and assets intent to deploy operating cash flow in a balanced and disciplined manner towards accretive strategic acquisitions, capital investments, and continued share repurchases. Taking a look at our Q1 2016 guidance on Slide 26, revenues are estimated in the range of $148 million to $156 million and net earnings to be in the range of $0.51 to $0.61 per diluted share from $0.72 to $0.82 on an adjusted earnings per share basis. At the midpoint, our Q1 2016 revenue guidance represented organic revenue decline of 2% over Q1 2015 and another 3% unfavorable currency fluctuation and additional 3% resulting from the Q4 2015 divesture of non-core product line. Guidance for earning per share has a midpoint $0.56 per diluted share, which reflect the reduction of $0.37 per diluted share compared to earnings per share in Q1 2015. This decrease is due to several factors, including $0.32 related to lower revenue and expected higher R&D investments of $0.03. Given the recent developments in our global markets, I’d like to take a moment to compare the Q1 2015 guidance estimate to the Q4 2015 results. Compared to Q4 2015, we expect first quarter revenues to remain relatively flat, because even though we anticipate a slight increase in the organic business that increase will be offset by the divesture of the non-core product line. We also expect a decline in earnings per share of $0.13 per diluted share at the midpoint compared to Q4 of 2015 non-GAAP earnings per share less special charges of $0.69 per diluted share. This decrease was due to higher forecasted estimate primarily due to incentive compensation expense, as well expand higher tax rates in Q1 2015, due to the absence of the release of certain tax provisions that occurred in the fourth quarter of 2015. The negative impact of these items expect to be partially offset by the higher organic revenue. In summary, we believe we’re well-positioned to deliver shareholder value in 2016 and beyond. We continue to aggressively optimize our cost structure in the phase of economic uncertainty as [indiscernible] generally remaining strategically positioned to capitalize on growth in our megatrend markets pursuing accretive acquisitions and continued to invest in technology and in innovation to adjust our customer’s need. I will now turn the call back over to Bruce. Bruce?
Bruce Hoechner: Thanks, Janice. This concludes our prepared remarks. And we’ll now open the line for Q&A.
Operator: [Operator Instructions] The first question is from Daniel Moore with CJS Securities. Your line is open.
Daniel Moore: Good morning. Thanks for taking the questions.
Bruce Hoechner: Sure, Dan. How are you doing?
Daniel Moore: Well, thank you. I appreciate it, Bruce. Maybe just update us, what are you seeing with regard to end market demand for 4G telecom equipment, specifically in China, and how confident are you that your customers have now worked through the majority of the inventory level reductions?
Bruce Hoechner: Okay. Well, certainly, what we’ve seen – we’ve seen a number of third-party reports. We’ve heard from our customers and also the big three telecoms in China are all reporting pretty similar outlook. They look at 2016 with an increase in base station production or implementation. So what we’re seeing is about 200,000 more base stations that are being projected for 2016. So that in combination with what we believe is a good balance of inventory to demand in the supply chain that was giving us some headwinds in 2015, we think that’s in shape. So we look positively towards 2016 on the base stations.
Daniel Moore: Thank you. And switching gears a little, you’ve worked really hard to get your gross margins up toward 40% over the last few years, took a bit of a step back in the quarter quickly mentioned a number of things in the prepared remarks. But maybe just give us a little bit more color what are the factors that impacting gross margin in Q4, and how quickly can we get those back toward that 40% goal?
Bruce Hoechner: So, let me take a step back. In 2015, organic sales were down as we all know. And that volume decline had an effect – an impact on our capacity utilization in many of our units. It also caused under absorption during the year. So and also in Q4, we had some discrete one-time manufacturing costs related to quality and some claims that we don’t think we’ll see again as we move forward. The other thing that I’ll point out, the addition of the Arlon product mix, which was absent obviously in 2014, had a slight negative impact on margins. So, as we look ahead into 2016, we believe that the manufacturing excellence initiatives will continue to enhance our margin profile. And certainly, as we see the recovery in global markets, we think and believe that as that volume returns, it will have certainly a positive effect on our margin profile. So, Janice, you might care to add some other comments.
Janice Stipp:
hurt:
Daniel Moore: And lastly, I’ll jump back in queue. How much of revenue from Arlon is included in your Q1 guidance? And Arlon obviously had a great year in 2015, specifically there talk about the outlook and sustainability, your expectations for organic revenue and EPS growth for that part of your business in 2016?
Janice Stipp: Yes, it’s approximately about $20 million.
Daniel Moore: For Q1?
Janice Stipp: For Q1.
Daniel Moore: Okay. And just in general commentary about market outlook 2016 for – in the antennas and the rest of the Arlon’s business?
Bruce Hoechner: So, on the antenna side, again, we know that as the build-out continues in places like China, we believe we’ll continue to see good strength in that market. Again, this is a penetration play as well, as operators move from bent metal antenna systems to the printed circuit materials systems. The other thing I’ll point out and it was interesting to note. If you look at the press over last month or so, India now seems to be a place where we’re starting to see a lot of growth. Reliance Jio, their CEO made some commentary in the press that they’re going to buy the second-half of 2016 to be able to cover 80% of the population of India in – with 4G. This is obviously a key and big move. And so as we – we’ve talked a lot in the past about China, we’re now starting to see the 4G LTE move into India, which I think bodes well over the next few years for us, both on the antenna side as well as on the base station side.
Daniel Moore: I appreciate the color.
Operator: [Operator Instructions] The next question is from Joan Tong with Sidoti & Company. Your line is open.
Joan Tong: Good morning. How are you, guys?
Bruce Hoechner: Very good. How are you?
Joan Tong: Very good. So a couple of questions here. First off, regarding share buyback. Obviously, you bought a little bit over 3 million during the quarter, and it’s a step back from that over 30 million in the third quarter. So I’m just wondering what you’re thinking in terms of capital deployment going forward?
Janice Stipp: Yes, we’re still going. We think share purchase buyback is a part of our value to our shareholders that we want to continue to do. We are going to not have – we have aggressively we acquired $40 million last year. So obviously that was somewhat of a catch up from prior year. So you won’t see that type of impact, but we definitely will be looking at the economic headwinds to find out if the time is going down, so that we can maintain a strong balance sheet. But in that regard, we do anticipate, at least, acquired enough to offset any of our stock compensation that we’re giving to our executives.
Bruce Hoechner: I think the other thing that I’d like to point out on stock – on share buyback is, we’re constantly assessing our strategy, and part of our strategy as a corporation is M&A. So my view is that that takes priority on our capital allocation. And so we will continue to balance that versus the other needs of capital certainly also capacity expansion and so forth and investment in our operations is a key component of that capital as well.
Joan Tong: Okay, that’s fair. And I have – just follow-up on the margin questions and the profitability, obviously, you did a great job in the third quarter. The margin actually surprised on the upside and then on the fourth quarter, it’s a little bit weaker than what I expect and probably what people expected and the first quarter kind of also the same situation. And I get asked a lot, this question is regarding incremental margin. I know that a lot of these is due to deleveraging its – due to the operating deleveraging and mix and things like that. But going forward when things start to improve, the volume is going to pick up like, are you still comfortable with that incremental margin that you have talked about in the past that 50% to 60% going forward?
Bruce Hoechner: Yes, without a doubt, yes, that’s – you’ve got the number right, it’s about 50%, 60%. So that just drops right through. So we would anticipate, as we look forward. And I’m not – we don’t make predictions beyond the quarter right? But in talking I have talked to a number of our customers they’re now traveling, and what we’re hearing is towards the second-half of the year, we believe that we’ll start seeing this industrial recession recover that we had noted in Q2 of 2015. So as those volumes start coming back into our units, we fully expect to see that margin profile improve.
Joan Tong: Okay. And may I ask you like, what’s your utilization rate right now? And also, Bruce, I think you mentioned during your prepared remarks, you mentioned that some sort of like, you try to rationalize your footprint, the capacity. Is it like, anything incremental other than the things that you already announced in the past, or is it still a kind of like a continual process? So multi-part questions there.
Bruce Hoechner: Sure. Yes, so our capacity utilization is approximately 70% or so right now across our unit, it’s obviously unit-by-unit and business-by-business, but that’s a pretty good number for you. In terms of our – looking at our footprint and so forth, we’ve talked about the movement to Hungary of our final inspection in curamik. I would also say that we’re looking very carefully at our excellence initiatives or manufacturing excellence initiatives, so really drive costs out of our existing facilities. And that’s one area that I fully believe we will seek to continuing in 2016, where we will get some very good payback on the investment in that – in those projects. And, again, as I think you pointed out, this is an ongoing analysis that we have across our network of what locations makes – make the most sense linked to where our customers are as well. So we continue to evaluate where we should be manufacturing to reduce, not only what I would say is lower wage areas – just to focus on lower wage areas, but also on areas like logistics and transportation that also have a very impactful effect on our profitability. So it’s a multi-pronged approach that we’re focusing on in addition to our supply chain pressures that we’re putting on our suppliers.
Joan Tong: Okay. That’s very great. Thanks for the update and really finally regarding macro. Everyone is kind of worry about China is falling apart. I know that a big chunk of your business from China, but you also mentioned not everything being like and up being in China, consume in China. So can you just kind of like get help us to dissect like how we should think about your exposure in some of those like problematic emerging markets?
Bruce Hoechner: Well, again, and I think you called it correctly. Where we are in those locations and those locals, primarily due to our customers. So our customers are in – adjacent to us in many of our places in China. And so we’re supplying to them and they’re assembling and completing their products. And some are being sold, as you can imagine on smartphones and some electronics are being sold locally. But this is a global business. And so what I would – it’s very hard for us to understand where all of the products go. But when we look at telecom, for example, and we were just talking about India, but also expansions in Europe, expansions in Latin America, expansions in Southeast Asia and North America, it’s very hard to track, because these are global customers, they might manufacture in China or in those locals, but they ship globally. So I don’t think I can give you much more detail on the split. But certainly, I’m very confident that, as the global economies go so goes Rogers. It’s not that we are not so tied to one or another specific economy.
Joan Tong: Thank you very much.
Operator: The next question is from Juan Molta with B. Riley. Your line is open.
Juan Molta: Hi, good morning, guys. Thank you for taking the question. First question, if you can help – hey, how are you? Can you reconciling the comment that Janice just made in her prepared remarks regarding the sequential guidance Q4 to Q1 where you expect organic revenue growth to be positive when you back out the seven non-core business, is that accurate what I heard?
Janice Stipp: Yes, it is.
Juan Molta: Okay. And well from a high level in the conference call and then in your remarks you’ve talked about a week macro as you being cautious if you are seeing an organic revenue growth sequentially than things must be pretty good from what you’re seeing?
Janice Stipp: Yes, our product is lower than what we anticipated if we had a good economy what we’re still seeing positive trend for us on the overall sales for Rogers. I think you’re correct, it would just be higher at the market discipline.
Juan Molta: Okay, all right. Would it be possible to quantify your approximate – your exposure to automotive in each of the segments since there was a source of strength in all three of your segments?
Bruce Hoechner: And, of course, it varies by segment. But I would tell you, it’s relatively small as a component of Rogers. I would – trying to estimate, but I – just looking at some numbers here, I would say, it’s in the range of maybe 10% to 12%-ish. But really what we’re seeing is, this is a penetration life for us. And I’ll talk about the blind spot detection and so forth. That market is growing at 30% and that’s not because obviously the automotive market is growing at 30% just because of the penetration of that application into those market areas. And so our exposure to the automotive is relatively small and it’s usually and it’s very much oriented towards very specific applications, where we have a very defined competitive advantage and technology capability that is unique. And so, as we see that develop, we’ll continue to grow with it, but again, we don’t see ourselves as an automotive supplier per say, we see ourselves as a technology supplier and going into various industry and penetrating with that technology.
Juan Molta: Okay. You mentioned a new product introduction at the beginning of the call. Could you address any other new product introduction where you have planned for the year?
Bruce Hoechner: We have multiple products that are coming into the market in existing market areas, but also in some newer ones. I’m going to ask Bob Daigle, our Chief Technology Officer to talk a little bit about the antenna system that I talked about earlier, because I think it’s a very good example of the platform technologies that Rogers is bringing forward to the marketplace.
Robert Daigle: So, it’s Bob Daigle. Yes, so what Bruce referred to earlier in terms of new platform technology has really aimed. The initial launch is really focused on defense, antenna applications, and with this technology basically can significantly reduce the size and footprint of an antenna without sacrificing performance. We’re using this as kind of a platform as really a foothold in the defense market, but are now very busy looking at commercial applications, where we clearly did lot of value and either shrinking antennas, improving the efficiency in some cases and longer-term enabling really better data rate between handheld and mobile cellphone towers clearly going to be necessary for 5G infrastructure and supporting the new application around the Internet of Things. So a lot of strong work around new platforms that are going to drive growth in the three to five-year range. And ongoing effort in terms of products that are maintaining our position as the technology leaders and current generation antennas, making sure, we’re extremely well-positioned in 5G infrastructure to maintain the high market shares that we’ve enjoyed with 4G.
Juan Molta: Okay, very good. And lastly couple of others. Regarding the other areas of strength you mentioned, it was consumer and renewable energy. Can you talk a little bit more about what specific applications or what industries inside those sectors you’re seeing to strengthen?
Bruce Hoechner: So in consumer impact and protection, this is in our foams business, I’m sorry, in the Elastomeric business. And this is some specific application and things like sporting goods, sporting apparels, protection and so forth, and it is a very – each application has its own demands and criteria, and we have unique capabilities with our foam – Elastomeric to participate there. So that’s one area. The other one in terms of clean technology, clean energy, and energy efficiency, we’re seeing renewed interest in areas like solar. And this has a big impact on our Power Electronics Solutions business and certainly, we continue to see high level of interest around the globe in our EV/HEV application areas. So this is not the only in places like California, where you can imagine there’s lots of interest in these kinds of applications. But in places like China, where there are many more mandates for easy HEV automobiles not necessarily from a saving oil or saving gasoline approach, but much more from an environmental approach. And there’s mandates in places like Beijing and Shanghai for these electric vehicles, and we’re seeing a lot of interest in those areas as well for Rogers technology.
Juan Molta: Okay, thanks. And then my final question, as you look across all three segments, did you – have you added new customers during the quarter or the median of this year, or the same customer just with the same change in their order flows?
Bruce Hoechner: I would say the customer bases remained relatively stable for certainly with the acquisition that brought into a new group of customers, which again was – we see as a great sales synergy and revenue synergy for Rogers. This has enabled us to have access to customers that historically we hadn’t really had too much contact with now we’re bringing our full pallet of products to those customers of the Arlon organization. So, from a customer perspective, I think the Arlon acquisition has brought us a new group of customers. But in our existing organic legacy business, it’s pretty much the same customer base.
Juan Molta: Okay. Thank you very much.
Operator: The next question is from David Cohen with Midwood Capital. Your line is open.
David Cohen: Hi. I was just looking for a little more clarity on the bridge of GAAP earnings to non-GAAP earnings, if actually given the fact that you have a tax benefit in the fourth quarter. I’m just wondering why it doesn’t make sense in corporate some sort of pro forma tax rate that gets you to more normalized non-GAAP earnings incorporating a more normalized tax rate?
Janice Stipp: Yes, I guess, we’re just actually walking through the actual fact, I understand what your point is. I mean, if we look at Q4 and obviously with the tax benefit without the benefit it’s really with some of the FIN 48 that you’ll see in the 10-K, a little more at the 32% tax rate versus the 38% tax rate, so not a significant thing, but some movement for the year.
David Cohen: Okay. But so…
Janice Stipp: We had that – that was the FIN before the test, yes, the FIN 48.
David Cohen: Okay. Well, and as you look at the special items environmental charge, severance loss and sale of business, are those – is there any tax impact? Are those tax effected anyway or those gross?
Janice Stipp: Not only gross, but they are – they will have tax impact, yes, of course.
David Cohen: Right. But your own – but you’re adding back the full amount of the adjustment not a tax effected amount on the adjustments, is that right?
Janice Stipp: No, the tax impact, so our tax adjusted on the chart.
David Cohen: So, let’s say we have a 11 – environmental charge of $0.11, is that net of taxes?
Janice Stipp: Yes. Yes, it is.
David Cohen: Okay. And the same question applies to the – to get to the non-GAAP adjusted EPS intangible amortization and the equity compensation, is that gross or is that net?
Janice Stipp: Net.
David Cohen: Okay. just as a suggestion, I mean, maybe that’s better off being called since we already have a non-GAAP number, maybe that’s better off being called like cash earnings per share or something like that, I mean, seeing that more commonly or commonly among other companies [Multiple Speakers] Yes, something that get into that.
Janice Stipp: Okay, again, we’ll take that under advisement, no…
David Cohen: Okay.
Janice Stipp: Let’s get– I’ll take that under advisement.
David Cohen: All right. Thank you.
Operator: The next question is from Dana Walker with Kalmar Investments. Your line is open.
Dana Walker: Good morning, everybody.
Bruce Hoechner: Hi, Dana, good morning.
Dana Walker: On Advanced Driver initiatives, Bruce, can you talk about how you would expect the pacing of that to evolve particularly with the USR appearing to flatten out?
Bruce Hoechner: So our view and this – and this is looking at industry reports – multiple industry reports, the view is that this market will grow 30% a year through 2020. So and this is penetration, again, this is not necessarily tied to unit production per se of the automotive industry. But it’s much more around the penetration of the technology from a safety perspective, right? And we’ve mentioned in the past, the European authorities have – are demanding that this technology being in the cars and the U.S. Department of Transportation is also recommending it in terms of Blind Spotand Adaptive Cruise and so forth. The other thing that’s driving – that will drive this. And this one is a little bit more uncertain of timing, but nonetheless we believe will happen is the self-drive automobiles. And our materials, our use are pretty extensively in a number of the experimentals that are out there. And so, we see this certainly maybe, certainly not next year, but over the planning horizon of maybe five years, you’ll see more and more of this which requires multiple number of sensors more than just the Blind Spot and Adaptive Cruise that we currently see today.
Dana Walker: Are there certain car companies whether they be here or abroad that are primary driver of the Delta in growth? Mercedes was obviously an early adopter or some of the more recent car companies like once you can name?
Bruce Hoechner: Well, first of all, we don’t name our customers, because they don’t like that. But I’m going to ask Bob to comment on this.
Robert Daigle: So, Dana. The way to think about that is, the radar sensors are actually being built by the Tier 1. So you have about a dozen Tier 1 manufacturers of these radar sensors that are being sold to pretty much all the major automakers. And it’s pretty broad these days. And if you look at the marketplace, at least, in the west, right? So if you look at Europe and North America, and it’s starting to emerge in China now, where these are typically options on available at pretty reasonable price on most vehicles, in some cases, it’s a standard in the high-end vehicles. So you have the dynamic really around more and more of the platforms adopting – new vehicle platforms adopting these sensors. You also have a number of sensors going out, where what we used to talk about, which the lane change radar you had two sensors in the back bumpers. You now have the Adaptive Cruise free brake – pre-collision braking systems. And now you’re starting to see a lot more of the transverse sensors, where basically backing out of a parking spot, you pick up whether there is a vehicle coming out, at least, in the side. So you’re now seeing the average number of sensors go up significantly. And this is anecdotal, but just – it’s interesting, because you think about that Audi Q7 that they drove to the Detroit Auto Show autonomously, Bruce’s point earlier that had seven radar sensors and five camera systems. So that combination of technology provides the autonomous driving experience.
. :
Dana Walker: Your – Bob, your sense for your share of market at this point and your protectable share of market would be what?
Robert Daigle: Yes, we believe we are north of 80% and we’re well-positioned to maintain a high share. And roughly speaking when we estimate market penetration today, globally, these radar sensors somewhere is in the – if you do the math, it’s 10% to 12% market penetration. So there’s still, we’re still in the first inning of this industry.
Dana Walker: Bruce, you were talking earlier about the belief that there would be more base stations built in 2016 than in 2015 in China. If given your compares begin to ease, I presume that would be in Q2, at least, as it would apply to China? In what timeframe might you expect to see year-over-year growth in your power amplifier business?
Bruce Hoechner: We’re – again, we’re being very cautious coming into 2016. And we don’t project past the current quarter. But our outlook for the year based upon the public information that we’ve seen and also conversations with our customers is that, we will see in China a build out of the base stations greater than what we saw in 2015. So I’m optimistic, but cautious and mostly how we get through the first quarter here.
Robert Daigle: Yes, and Dana, just to note, I think you probably recall we talked about those. But first quarter of 2015 was very strong in the base station infrastructure part of our business. But Q2 fell off very dramatically in the power amplifier area. It was down around 40% or so in flat line. So, again, I think the year-over-year comparison is obviously that allow you after Q1.
Dana Walker: How about one final question on – you talked about the back display application in phones, where does your phone business stand for pour on type products? And maybe you can annualize that at year end and whether you would expect that to be negative neutral or growth, as you look out of the next year or two?
Bruce Hoechner: Well, certainly, over the last couple of years, we’ve gone from about 45% of our – of the EMS business to about 25%, that’s associated with the personal or portable electronics business. We’re optimistic that our back pad business will mute some of the decline in the gasketing – the display gasketing that that we’ve seen during the last couple of years. It is very difficult to predict primarily because these are very application specific and specific to certain customer wins. And so how fast these new applications come on board? How fast some of the older applications go away is very difficult for us to predict. Just on an ongoing basis in every handheld, we believe we have about $0.02 of sales of our phone into the handhelds. So we’re impacted by the market – the handheld market, so if it’s up, number of units were up. We’re up accordingly from that kind of supply side. Now, certainly the back pads are greater real estate area on the smartphones and accordingly would have a higher value to us. But, again, it’s very, very difficult for us to project forward on that. But our outlook is, we believe we have some very good products out there and our customers are telling us that.
Dana Walker: Maybe I’ll sneak one more in. Janice, hi, there. If you were to describe the revenue and the EPS effect of the divestiture that would be helpful?
Janice Stipp: We don’t give the detail of just one product line at this point in time. But we did talk about the revenue for the first quarter was approximately 3% of the sales that would be deteriorating quarter-over-quarter, but we never really get – never getting details of this profitability.
Bruce Hoechner: Yes.
Dana Walker: But one presume there was some EBIT involved there rather than it you selling or losing operation?
Robert Daigle: So, Dana, I think we kind of tells you this before as we talked about the acquisition that, the peak of the business with that when we acquired Arlon we put in the other category. It was basically – we didn’t believe that it contributed much to our future from a growth. And quite frankly, I think, I made this comment before, we paid a multiple of EBITDA for Arlon, and we didn’t – that didn’t cost us anything to give you a sense, the [Multiple Speakers] of our profitability. So I would – we wouldn’t expect us to have a material impact on our profitability. So it’s a decline in revenue without an impact on profitability.
Janice Stipp: Sure.
Bruce Hoechner: Bob, one day when you retire, you can get into the furniture business, so that you can catch things.
Dana Walker: Thank you.
Robert Daigle: Thanks. Thanks, Dana.
Operator: The next question is from Daniel Moore with CJS Securities. Your line is open.
Daniel Moore: Thank you. Just one follow-up, triangulating a few comments, and maybe, Bruce, you can give us a little bit of an outlook just on the overall M&A environment. You mentioned, Janice, that you wouldn’t be buying back as much stock in 2016, but by our calculations get $25 million net cash, probably add another $60 to $80 million plus potentially this year. Are you holding back as the M&A, or are you seeing much more in the way of opportunities in M&A, and that’s why you’re holding back maybe provide us a little bit more color there, Bruce?
Bruce Hoechner: Again, I always go back to our core strategy. Our core strategy is both organic and inorganic growth. And the inorganic growth world today for us, we’ve got numbers of teams focused on opportunities. We think with some of the decline and the recession that we’ve seen in the industrial sector, there’s opportunities here. And so we continue as part of our core strategy to focus on this area. And as I said earlier, this is a priority for us when I look at our capital allocation across the corporation. So we are fulfilling our strategy approach here by doing hard work in understanding where those opportunities are.
Daniel Moore: Any additional color in terms of geography and/or type of end markets, where we were seeing more things bubble up?
Bruce Hoechner: No. It’s generally, I would say, it’s certainly what we’ve seen is multiples have come down over the last year or so. And so we think it’s a little bit more positive environment. So we’ll see.
Daniel Moore: Okay. Thank you.
Operator: Showing no further questions at this time. We’ll turn the call back over to Mr. Hoechner, for any closing remarks.
Bruce Hoechner: Okay. Thank you, Chris. In 2015 like many global companies, Rogers was affected by the volatility in the global economy. Despite these conditions, we still delivered record Q4 and full-year sales, thanks in large part to the contributions from the acquisition we made early in 2015. Looking ahead, we are confident in our growth strategy, which has delivered sustained solid results over the past three years. We are seeking new acquisition opportunities, implementing operational improvements to reduce costs, and increase efficiency and cultivating a robust pipeline of new products. We believe that we’re focused on the right megatrend categories by actively growing our business, controlling costs, and maintaining disciplined capital allocation, we expect to deliver solid returns to our shareholders. Thank you for joining us on today’s call.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.